Steffen Hoffmann : Good morning, ladies and gentlemen. This is Steffen Hoffmann speaking. On behalf of Mercedes-Benz, I'd like to welcome you on both the telephone and the Internet to our Q2 results conference call. I'm very happy to have with me today Ola Kallenius, our CEO; and Harald Wilhelm, our CFO. To give you maximum time for the questions, Ola and Harald will begin with a presentation directly followed by the Q&A session. The respective presentation can be found on the Mercedes-Benz IR website. And now I would like to hand over to Ola.
Ola Kallenius : Thank you, Steffen, and good morning, everybody. Welcome to this Mercedes-Benz Q2 call. In Q2, we have delivered both robust sales figures and also a solid financial results against the backdrop of a macroeconomic environment that is quite tough, and I think in tackling such challenges, we have demonstrated as a company that our flexibility, but also our resilience is at work here. And I would like to start by thanking the whole Mercedes-Benz team for this first half of the year. To use a football analogy, the first 45 minutes of play have been solid, and we have now stepped on to the pitch for the second 45 minutes with energy. Let's have a look at the key messages. So if we go to Page 2 in the deck, on the performance side, the car sales were robust in a challenging environment. We had some restrictions in Q1, and we returned to a more normal sales pace in the second quarter. On the van side, also, they have had some model changeovers but also performed well in spite of these model changeovers. We have been busy launching new product; the electric G-class has taken the world by storm and is now in the market. We have made an extensive upgrade to our EQS flagship limousine, which is also being launched as we speak. We've given our Mercedes-Benz fans a glimpse of the first Mythos series, something that we announced a couple of years ago that for [indiscernible] and collectors, we will from time to time, put something special out there and at the Monaco Grand Prix, Formula One Grand Prix, we invited top end customer to take a look at that and received a very warm welcome. And we are ramping up our complete technology and product offensive that will start next year with the CLA as the first derivative on the so-called MMA architecture. Profitability, double digit for cars, which is solid. Vans was exceptionally strong whereas our mobility division is feeling a challenging environment at the moment. On the technology side, next to this unprecedented technology and product launch that is in the making, it feels like we're a little bit on the final stretch here for what's going to be kicked off in 2025. We have also laid some other groundwork. We opened our new eCampus here in Stuttgart-Untertürkheim, which is where we have our headquarters, and it's the heart of our powertrain development since forever. So we have all the tools from chemistry research up until manufacturing technologies to develop innovations in this field for the future. We've also launched over the year, the Automatic Lane Change, a Level 2+ feature for our vehicles. If you try it, mostly when I drive on the Autobahn in Germany, I am in assisted driving. And today, you can initiate an automated change yourself, but just tapping the stock. Now the car does that for you. So it's even more convenient, even it has more safety for our customers. We started with that in the US. Now it's available here in Europe as well, a fantastic feature. But it just demonstrates that we keep on innovating. It kind of never stops, and you don't have to wait for the next-generation vehicles. Over the year, we launch features all the time. The shareholder return, well, Q2. As usual, we paid our dividend, robust €5.5 billion. Harald is going to go into that, but we also had share buybacks in the amount of €2.8 billion. So that shareholder return is €8.6 billion and is equivalent to 11%. If we jump to Page 3 to look at Mercedes-Benz group headline key figures. So revenue is more or less in line with the sales. If you compare the EBIT number of €4 billion to the earnings per share, and you see how those have developed from previous year to this year. You now can see this accretion effect at work and the share buybacks positively impacting the earnings per share. Free cash flow, yes, we're holding a bit more inventory here at the end of Q2, which we need because we want to sell more cars in the second half of this year than in the first half. But in spite of that €1.6 billion free cash flow is pretty decent. And that results in a net industrial liquidity after we paid the dividend after we did share buyback of a very healthy €28 billion. If we go to Page 4 and look into a little bit more details on that sales structure, as I already mentioned, Q2 to Q2 in the same neighborhood. Q1 to Q2, obviously, a growth, those restrictions that we had on the supply side in Q1, they were solved during Q1 and into Q2. So now we have stable operations as far as that is concerned. On the top end side, whereas we had better figures in Q2 than in Q1, we're below last year. The main reasons for this is, on the one hand, it's model changeover at AMG. Just to mention one model that we have just launched that has hit the market in a very positive way is the E53 AMG plug-in hybrids kind of the best of both worlds, an uncompromised performance vehicle, but at the same time, if you do want to drive electric from Monday through Friday to work, you can do that as well. That's one of the cars that is now ramping. But we've also seen in China, Asia on the consumer sentiment caution. I think this goes across industries for expensive luxury goods. And in such cautious consumer sentiment environment, you have to carefully manage also your stability -- price stability and so on, which we continuously try to do. On the electric electrified vehicles, it's about the same as last year, but in a different structure. The plug-in hybrids have been very successful, whereas on the BEV side, we can see in the markets -- across the markets, more or less across the world, that there's been a slowdown in 2024 compared to the years before. In such an environment, you can choose to either push and gain market share by price or you can take a little bit more careful, more stability-oriented approach, that is what we have done and we'll continue to do as we are preparing for this unprecedented product launch of new electric vehicles and architectures starting in 2025, but literally from '25 and the coming years, there will be one vehicle after the other. If we then jump to Page 5 in the deck, and we look at the same thing as vans. Yes, van sits below last year. Last year, Q2 was an exceptionally good year, one has to say, but also two effects here on vans. One is also model changeover. We have just launched the new V-Class. We have recently updated commercial versions of our mid- and full-size vans, so that will ramp. But also for the vans side, we have kind of the same philosophy that look for stability and price stability rather than push into a market. We made a decision a couple of years ago that we wanted to discontinue the Metris mid-size van in the United States market because that segment is less interesting for us, and we see more opportunities on the Sprinter side in the United States. So that's in that number. And the last thing to say, the recreational vehicle business, which is a niche, but an important niche, that literally boomed during COVID and kind of at the back end of the pandemic. And it seems like many customers, they have their new RV now. And maybe we have a little bit of a quieter period on the RV side before the next replacement cycle starts. That as an introduction, high level, on cars and vans. I would like to hand over to Harald, who will go into the financials. Harald?
Harald Wilhelm : Thanks, Ola, and hello, everybody. So let's have a look on the cars financials. Revenues are lower in line with the volume. The ASP is at €71,000 due to a lighter mix and softer pricing. EBIT adjusted at €2.8 billion and the cash flow at €2.2 billion, which is a decent cash conversion of 0.8. So let's dig a bit deeper into the EBIT walk on the Page 7. On the return on sales adjusted in the second quarter of 10.2%. How did we get there? In essence, I mean, the bucket volume structure net pricing driven -- is driven by lower volumes, mix impact outlined by Ola before due to the lighter Top-End share and the negative pricing versus a very high level of pricing in the second quarter 2023. Additionally, the used car business normalized as we anticipated, and we also invested further into the product enhancement to keep them at the cutting edge. On the FX, we have basically the Turkish lira. On the industrial performance side, you can see that we're doing the homework and we're mitigating the impacts on the volume structure net pricing by €400 million improvements in the industrial performance, which is basically positive net material cost, including the tailwinds from raw materials, but also improved operational efficiencies. Also the SG&A side, I mean, is slightly positive on the R&D and the non-capitalized development cost, we stay below the prior year level. So all in all, I think you can see that we're committed to do our homework on -- all on the cost angles. On the other bucket, some elements of information here. I mean, the majority of that is prior year effects, positive by onetime effects. Some smaller valuation effects here sitting in the second quarter, '24 and a minor impact, I mean, on the BBAC at-equity result from limited dealer support in China. So overall, €2.8 billion of EBIT adjusted, 10.2% return on sales, basically same numbers for the booked figures and this €10.2 billion, I would say, despite the items reflected in the other bucket. What is not on the chart, but what I really would like to highlight here is if you compare that quarter compared to quarter 1, 2024, we see improvements on the volume and on the mix side. As we are ramping up, I mean, E-Class and the GLC, so with strong products. And I would say also, I mean, a pretty important piece of information that in the second quarter compared to quarter 1, we could hold and defend pricing level. Material costs and operations are basically watched quarter-over-quarter, and the use is slightly negative. So I think that's information which might be valuable to you. Over on the Page 8 on the cash flow at €2.2 billion with a conversion rate of 0.8. Had a headwind, I mean, on the working capital, as Ola already pointed out, with a step-up in inventories to prepare for higher level sales in H2. We have lower trade payables. You cut off between the first and the second quarter, and receivables are also a bit higher, given higher delivery of parts to our JV in China. The financial investments are positive. They relate to some further retail outlet sales. I mean outside of Germany, the net investments in PPE and intangible assets exceed the depreciation as we guided for. What else in the other lines, basically, you can see the net of the BBAC divi and the adjustment of the BBAC at-equity result. On the van financials, I mean Page 9, the revenues developed mean better than sales. And even so sales are down. I mean, EBIT is up by 5% to €800 million and the cash flow is at €600 million. So how did we get there? Page 10. On the walk to 17.5% return on sales, which I think is a remarkable number for vans. So quite a lot of things I tried to cut it short. As you see in the volume structure net pricing, which is basically balanced. But within you have, I mean, the mix outweighing of the lower volumes. Then you have a positive FX effects, which compensate for the respective negative inflation, which sits in the industrial performance. All in all, I mean, that inflation is coming from Argentina, but the Argentina business is profitable as such. Then net material costs are the main driver here in the bridge. And also, I would say here, you can see that the cost efforts are at work. So with this €830 million EBIT reported as well, which is the same level also for the return on sales. On the cash side, 0.6 cash conversion, 0.7 also a bit of working capital charge here with an increase in vehicle stock with lower absolute amount of vehicles, but a heavier structure and also some negative effects from trade payables, which we expect to reverse in the second half of the year. The net investments in PPE and intangible exceed the depreciation as we invest in our plants to make them ready for the future, in particular for the VAN.EA generation to come. And same here in the other bucket, the net -- the reversal of FBAC at-equity and the divi of FBAC being included. Looking on mobility, Page 12, the new business decreased by 9%. That is mainly a function of the fierce banking competition in China. Portfolio is at about the same level also as in Q1 2024 with a continuously increasing share of xEV vehicles. So here, MBM basically finances more than every second EV vehicle sold by the group. Having a look on Page 13 on the return on equity walk. The EBIT adjusted came in at €0.3 billion. What's driving that year-over-year higher cost of credit risk? Mainly driven by increased credit losses in the US consumer segment. Overall, the cost of credit risk is at a similar level as in the Q1. The portfolio margin remains, I mean, under pressure through the interest rate development and the competitive financial service sector. The profitability of the new acquisitions continued to stabilize on a healthy level. However, it takes time until this improvement materializes in the portfolio due to higher for longer interest rates and fierce competition in China. Additionally, efficiency measures lead to cost improvements. That's how we all in all got to the 8.4%. On the group side, Page 14, divisions I explained already. What's left the recon is positive, mainly due to the at-equity result of Daimler Truck. However, with a minus €147 million, which was impacted by an impairment at Daimler Truck participation, including effects from the PPE offset by central function related effects. On the Page 15, on the cash flow, same thing. Divisions explained already, income taxes at pretty high, €1.5 billion, which is driven by seasonality effects. So with this, I mean, we ended up with a free cash flow at €1.6 billion, which also includes the dividend from Daimler Truck in the second quarter. Page 16, on the NIL, €28 billion by the end of the quarter, obviously driven by the free cash flow of €1.6 billion, (inaudible) of €5.30 share with a total of €5.5 billion. Cash out on the share buyback in the second quarter of €2.8 billion. If we look back at the beginning of the program in March 2023, we bought back shares for around €5.1 billion by the end of the second quarter that totaled €10 billion of shareholder returns in just 1 year, obviously, without counting last year's dividend. Now let's turn to the outlook section on Page 18. First, as always, I mean, the assumption chart, I mean, is key. You can read it, I think, so I don't need -- you can see it on the page. I don't need to read it out. So let's move to the car division guidance on the sales side -- sales guidance side. The total car unit sales we see at prior year level with overall sales expected to rise in H2 versus H1, driven by full availability of all new E-Class and GLC. Top end is expected to improve versus H1 levels, supported by further market launches of new models. In Europe, we see the overall sentiment improving. The more detailed picture in Europe remains heterogeneous, however. In China, we have a cautious view on the macro sentiment and fierce competition in entry and to a certain extent, also in core. In the top end in China, we target to successfully defend our leading position in a softer market environment. In US, we continue to see a solid momentum for sales and demand and expect a positive year-on-year development for H2, driven also by the GLC. The xEV share, we expect now between 19% to 20%. H2 xEV sales expected to increase in the plug-in segment, driven by SUVs and full availability of E-Class. Adjusted return on sales cars guidance is narrowed to 10% to 11%. What do we expect in the second half of the year? Volumes are expected to increase in the second half with full availability of the products. The mix is expected to improve, thanks to Top-End launches. The pricing we want to hold and defend on current levels. The ICE pricing is solid. The EV pricing is at the same time competitive. Additionally, we see normalization of the used business, but still an overall healthy level. Raw material costs, we expect further tailwinds. On the supply chain-related costs, we expect headwinds with efficiencies being driven further, but some one-timers to come in the second half of the year. In China, we see H2 potentially some dealer support impacting the BBAC at-equity result. All in all, with H1 in the books, we narrow the guidance to 10% to 11% return on sales adjusted in demanding environment. And I think this is what you see as well, if I'm not mistaken. Important to note as well, if you look at the run rate in H2 compared to the H1 that this sits in the double-digit area and is going up even over the quarter 2. PPE, R&D and CCR adjusted for cars, I mean, are unchanged. The corridor remains at 0.1 to 2. And with this, the cash generation is expected to continue. Looking at the vans divisional guidance, so we had a very strong H1 as reflected. We continued healthy pricing and favorable structure, supported by comprehensive cost reductions and therefore, we raised the guidance to 14% to 15% returns on sales adjusted. Vans is currently in a sweet spot with regard to life cycle position and financials. We expect H2 in terms of return on sales, healthy again, but influenced by increasing cost of our new VAN.EA platform. Considering current macro developments and uncertainties with regard to H2, we stay prudent and take a cautious view. Market demand is expected to be softening in private and commercial vans segments in H2. As the EV market ease, we see our xEV share now at 5% to 7%. For the full year guidances on sales, R&D, PPE and CCR, they are unchanged. On mobility, H1 was challenging with regards to the margin and the cost of credit risk. In H1, the new acquisitions improved, but this takes -- the margin in the acquisition improved, but this takes time beyond the H2 to materialize due to the demanding market environment and higher for longer interest rate development, we expect the adjusted return on equity now in the range of 8.5% to 9.5% for the full year. Coming from 8.5% in H1, we expect in the second half of the year, a flat portfolio margin, better cost of credit risk, partially outweighing further increasing ramp-up cost of our charging infrastructure, a challenging market environment, especially in China. But at the same time, we continue to work on cost efficiencies. On the group guidance, Page 19, obviously, that follows the same premises. I mean at the segment level, all guidances are confirmed and therefore unchanged. And with this, I hand back to you, Ola.
Ola Kallenius : Thank you, Harald. So on Page 20, what's the game plan for the second half of the year? It's relatively simple. It is to realize the potential of the market, full availability of important models like the GLC, like the E-Class. But as I mentioned before, also the launches of new AMG models. And at the same time, in a subdued market carefully manage the equilibrium between volume and price, as we have been doing in the last few years. But this must be coupled with relentless continued work on efficiency. So we have across the board on variable cost, our so-called BEAT program for materials, but also variable costs in production, fixed cost across the board, managing the high level of investments that we have and making sure that the effectiveness of those investments are always challenged. So play offense and defense at the same time that has not changed. If I take a little bit longer view of what's going on, on Page 21, the last page, I think it's never been more exciting to work in the auto industry than right now, but it's probably also not been more intense since a long, long time. We are in the middle of a transformation, and that transformation is ramping up that the destination is zero emission for individual mobility and for this company is clear. We are continuing a very, very big investment into technology, new e-drivetrain, new electric electronic architecture, software, et cetera, for our next-generation electric vehicles and architectures. And as I mentioned, that really kicks off with the first vehicle being launched next year, the CLA. And then literally, for the years following that, it will just be one launch after the other. But at the same time, we have to realize that the speed of adoption, the speed of the transformation, it's almost impossible to foresee how long it will take. And in this case, we are a company, one of those, I think, few companies that are well positioned to play the flexibility card into the 2030s. As I've said many times before, we had already made the decision as part of our original plan to update and renew our relevant combustion powertrain portfolio for the new emissions rules that are coming anyway, EU 7, China 7, ACC2 and so on. And through a very intelligent modularization and industrialization strategy, we can take advantage of this and create the flexibility for our customers into the '30s at a reasonable investment level. I'm sure that will come up in the questions later on. So exciting innovative new technology. That's the name of the game. It's always been the name of the game, making sure that we deliver the Mercedes-Benz promise. It's not just A to B, it's A to B in style. It's being part of something special, actually feeling that you kind of have arrived when you have bought a Mercedes. So those intangibles sometimes irrationals, we are carefully developing them for the future as well. So you can rest assured, destination clear, zero emission, but flexibility available as long as the market has meaningful demand for all of the above. Thank you very much.
Steffen Hoffmann : Thank you, Ola and Harald. Ladies and gentlemen, we now start the Q&A. I will identify the questioner by name. [Operator Instructions] Before we start now, the operator will explain the procedure.
Operator: [Operator Instructions]
Steffen Hoffmann : And the first question goes to Tim Rokossa from Deutsche Bank.
Tim Rokossa : First of all, I think it was very important that you made the turnaround on the margin side in cars, and you made that relatively clean. I have 2 questions, please. The first one maybe to both of you, not sure. Ola, you said the macro is quite tough, it is not getting any easier. I think most people would certainly agree with that. Looking at the stock price development of autos in the last few days, the big debate here seems to be normalization of returns. Investors fear that returns go back to where they historically were. And you are in this industry even longer than I am. And we all know that, that number was much lower historically. You seem to believe you can counter that trend with new models and cost control. So maybe to both of you, is that the answer when people ask you what has changed as Mercedes to make sure that returns do stay higher than they were previously? Is it new models and cost control? Is there anything else? And is this a downhill battle from a return perspective, you being relatively less worse than others? Or should the market be more optimistic here? And then secondly, related to this, when we talk specifically about the pricing element in cars down year-on-year in Q2, pretty stable Q-on-Q, you say stable for the full year. We are seeing that pricing in luxury is clearly resulting in lower demand because a lot of people have overdone it on the pricing side. Is there really across from that, that we should still be more optimistic on your end? Is it also again because of the new models? Is your order intake supporting that more optimistic pricing assumption?
Ola Kallenius : Maybe I'll start, Tim. I think it's difficult to compare the current period to previous periods because there's so much change going on. I mean it's not just a transformation from ICE to BEV, which is the fundamental once in a 100 years type of transformation that everybody has to deal with. But I think the marketplace is also different. The Chinese market is different. There are more players in the Chinese market, many more players in the Chinese market than there has previously been. So to make a straight comparison to where were we 5, 10 years ago and where are we today, is difficult. Having said that, since you have followed Mercedes for a long, long time, the last 3, 4, 5 years, in terms of free cash flow, shareholder return, we have delivered solid results on average, quite significantly above the period that we had maybe 20 years preceding that. And yes, this is a very tough market environment. Yes, the Chinese economy, the consumer sentiment in the biggest car market in the world is subdued. So it's not easy, but as we showed here in Q2 in such an environment, we produced a good return. We produced very decent cash flow and that will be our goal. I don't think you can ever stop training. I mean if you're playing this football match and you're playing in a tough environment, keep on training, work on the efficiency, work against some of those macro trends that you said, deliver new technology and new product in the second half year. I think maybe that's part of the answer to your question. We want to sell more Top-End vehicles in the second half of the year than in the first half of the year. Yes, it's driven by some new launches. No, we don't expect a general tailwind from the market on that. Yes, we also observed that across any industry really right now, if you want to buy a luxury handbag, a watch, a car, what have you, that there is pressure in the market across industries. So far, we have dealt with that quite decently. And we also carefully try to manage in that environment, the price versus volume equation, which I think we have also demonstrated that we did in Q2. I think it's kind of my answer to both questions. Harald, please add to that. Harald says that was the answer. So I hope that's okay for you, Tim.
Steffen Hoffmann : And with that, we continue with Stephen Reitman from Bernstein.
Stephen Reitman: Yes. There's been some press reports, particularly coming from China talking about some of the premium general manufacturers stepping back from some of the discount activity maybe reducing pressure on the dealers to sell volumes at previous levels. Do you have any comments on that, please?
Ola Kallenius : So if you look at figures that are published in China, not just on volume, but studies on pricing rebates, et cetera. And we add the data that we collect ourselves. I think it's fair to say for the first half of this year, the Chinese market in all segments has experienced price pressure -- increased price pressure in all segments. In that environment, if you look at the studies, in the relevant competitive set, whereas we have been affected as well, we have been the ones that have held on to relative price stability more than the relevant competitive set. You cannot completely insulate yourself from the market and say, I'm operating in my own universe, and it doesn't matter at all what the others do. It does matter. If other market participants choose to go more in our direction, I think that could lead to a little bit less pressure. We will see -- we will have to see how that plays out, but we will try to maintain our game plan.
Steffen Hoffmann : And we continue with Patrick Hummel from UBS.
Patrick Hummel : My first question is also UK. If we take a step back and look at the big picture, how should we think about Mercedes' way forward in the China business? Some of your competitors are talking about rightsizing the business or even restructuring, one could ask the question in the entry segment. Is this a place Mercedes wants to be in the long term in the Chinese market, but of course, in the end, scale does still matter to your business. So I'm just wondering if you take a step back under the assumption that China will remain a very, very challenging market. Luxury at some point might recover, but the structural shift in competition are happening. How do you think about the China business in terms of what is the right capacity, what are the right products for the market? And also in that regard, is it realistic if China doesn't recover to grow the [TAF] share from here in a global context? And if I may, second question, on the ICE product side, you have a busy launch pipeline, true, MMA is multi-energy, but MBEA is not, that is BEV only. Are we heading into a period where we might see shiny nice BEV products, but a little bit of a lower cadence level on the ICE side? I guess the answer is no, but what exactly are you doing against that? How do you keep the ICE products fresh also bringing MB.OS into the vehicles in a timely manner? And what does that do to your investments?
Ola Kallenius : Yes. Thanks, Patrick. If we take a step back and look at what's going on in China, I think we're experiencing three things at the moment. One is the general transformation and the technology race for the future. That's a race you got to be in, there is no ifs or buts. That is why we're investing into a complete from the ground up new eDrivetrain that we will start launching next year, and then we'll launch in all products following that, which will be very competitive. The same thing goes for the digital side, what processing power do you have on board? What sensor set? What software stack? What can it do? What's the digital experience? No compromise, full force even if maybe not every single conservative Mercedes customer needs, every single use case there. Don't forget how young the average Mercedes customer is in China. So that technology race is on, and we're in it, and we intend to be in the leading group of that technology race. Without forgetting what makes Mercedes-Benz a Mercedes-Benz, I'll just make one single little anecdote to illustrate the difference between the Mercedes and many of the attackers. Spoke recently to Chinese customer who bought an EQE and say, why did you buy the EQE? Is that where it's the only electric vehicle, you don't get C/SiC in. I don't you get C/SiC in it because the calibration of the power delivery of the powertrain, even though you have torque or mass is done right and that combined with a chassis with the right hertz frequency, yes, you don't get C/SiC because we have been doing this for a decade, and we know how to do it, and it doesn't feel like a go cart. So new technologies paired with the strength that we have that we will do, number one. Number two, the current macroeconomic environment in China is subdued. I think everybody knows that since we came out of the COVID restrictions beginning of last year, consumer sentiment, it didn't come back. It just didn't come back and you feel the pinch across the board, but also in the luxury segment across the industries. How long will it take for the Chinese consumer to regain confidence and start buying again? One piece of it, I am sure, is related to the real estate sector. The savings for upper middle class people has been that additional buy-to-let apartment that was just going up and up and up and up and up. That whole industry has been in restructured for years now. It feels a little bit like an American customer's 401(k). You look at your 401(k) and if you feel flushed, you will buy a car. If you don't, you don't. And there, you have the real estate sector in China. We don't know how long it will take, what it will take for China's consumers to regain that confidence, for China's entrepreneurs to regain that confidence. It is affecting us. It is affecting others. The cautious view that we take now is that's not going to change quickly. So we have to count on this being the marketplace here maybe in the next at least 12, 18 months, we shall see. Then comes the third piece, and that goes into your strategic, how do you play it strategically. You have more than 100 players offering BEVs. I haven't looked at the latest numbers, but I would guess more than 90 of the BEV players are burning cash, not generating cash, maybe it's even more than that. Then you have the SOEs. They're also burning cash, but they, of course, have a different financial backing in the background. How long will it take for that to shake out? Also nobody knows. Do you stay in that game? How do you stay in that game? That's your question. What size do you pick for that game? It is true that your overall volume worldwide does affect your fixed cost aggression and scale. So you don't step out of the segment lightly. You have to weigh your options. And I believe at this stage in the game, it's too early to make a definitive decision. You have to stay flexible and agile and watch this while you work on the fundamentals, which is, again, get the cost down, make sure that your product is attractive, et cetera, et cetera. I know it's not a clear answer to the question that you asked. But at this stage in the game, I think it's too early to just say you're going to go completely left or right. With regard to the ICE and I think this has been the case for Mercedes forever, and it will continue to be the case. If you walk into a Mercedes showroom and you look at this fantastic lineup. It needs to be coherent, okay? Maybe you have the latest car that was just launched, and there is another car in the showroom that was launched 3 years ago. That exist has always been the case. But we have been a company that very quickly have proliferated new technology that we have developed for the latest cars into the other cars. Here, we have no discrimination against the eyes on the contrary. The new MB.OS innovations that we are bringing, of course, we will bring those into the ICE cars as well as we go along here in the next few years. So thinking about the customer, the customer expects a coherent offering from Mercedes and will get a coherent offering from Mercedes.
Harald Wilhelm : And maybe as you pointed at the investment level, Patrick, we are well advanced on the EU 7 on the powertrain renewal and -- which means with the smart engineering, we do believe that we can have, I mean, the best of EV and ICE products moving forward at the same time, but the investment level, I mean, over time is still feasible to come down. We're at the peak probably '24, '25, I mean, that's what we said since a while. But post '26 or maybe somewhere in '26, you could say, we can see the investments to come down from the level where we are today leveraging the elements Ola just pointed out before.
Steffen Hoffmann : And we continue with George Galliers from Goldman Sachs.
George Galliers : Obviously, very good to hear Ola about your experience with the Level 2 system. And that's what I wanted to really focus on with my first question. This isn't new, but when we look across the equity market, we see different companies getting different market valuations for that effort with respect to ADAS. And for some, it's clearly seen by investors as a huge revenue opportunity, but for others, such as Mercedes, I don't think investors fully understand what the financial implications are. Could you perhaps help us better understand how you see the financial implications from advanced ADAS features? Is it something that will create material incremental revenues in coming years? And if that's the case, is it something that can be forecasted, quantified and disclosed? Is it something that doesn't create incremental revenues, but it just allows you to continue to command a healthy price point on your flagship vehicles like the S-class or is it something that is just a cost really in order to hold market share and volumes and stay in the game? Or maybe we should think about it completely differently, but I'd be very interested in hearing your thoughts and maybe just on the topic of ADAS, could you perhaps say a word on the progress of your work with NVIDIA on the next generation of MBOS?
Ola Kallenius : Yes, George. I think we need to talk both technology and financials because they do go hand-in-hand, of course. Having worked on assisted driving, autonomous driving, I mean, really since the 1990s when we launched as the first manufacturer, the first assistant systems. This has been a process that it's not like a new phenomenon for us. It's been there for a long, long time. And it's always been following some core principles in terms of our technology strategy and go-to-market strategy. One core principle is safety. When we started developing these things, we developed them to make the driving safer. It was a little angels in the background that stepped in and took over if God forbid, you made a mistake. That philosophy has not left us. But now on the -- in the beginning of the year of autonomous drive, the other piece of it is, of course, convenience. So it feels like convenience in terms of the customer value is going to take over, but it should not be convenience at the expense of safety. It should be convenience and safety. Both of those things. That's just a general philosophy. So you know why Mercedes is doing this. The current generation that we have is very sophisticated, one of the leading systems in the market. And of course, we have many times highlighted also that we are the first ones that have also delivered a Level 3 system, yes, up to 60 kilometers an hour. We're working now on the kind of 90 kilometers -- around 90 kilometers an hour to get that done end of this year, beginning of next year, just to demonstrate that it can be done and then take a step beyond that. So that once you have put a flag on the moon, you start building a colony on the moon. But there is a very significant thing happening for us, and this dovetails into your NVIDIA question, starting with the CLA next year and the first MMA vehicle. From that point forward, every single vehicle that we will launch will have a supercomputer on board, a capable supercomputer on board that can do a lot of things whereas today, we have a more staggered approach. You have maybe a very entry type of offering that is the minimum that you need to get the 5 stars and those types of things up to very sophisticated things at the top end of the S-class. We are, in a way, upending that strategy now. And since the CLA is the entry position of the fleet, if you're going to put a supercomputer in the CLA, naturally, you're going to put a supercomputer into every car. But that supercomputer alone is not going to do it. It has to have a comprehensive sensor set. That sensor set needs to be able to look in all directions around the car. It needs to have redundancy in our humble opinion. That's why we have redundancy in the sensor set and it also needs to look inside the cars, it knows what you're doing. Every single vehicle is going to have that. And then the missing piece is a software that knows what to do with it backed by cloud infrastructure, needless to say. That significantly enhances the capability and the potential user experience for every Mercedes customer going forward. Can that be monetized? I am convinced that it can be monetized. But if you think back to the MBOS capital markets event that we had a couple of years ago, 1.5 years ago or whatever it was, you probably remember that we were maybe a little bit more cautious than some others in the industry in terms of what we think the earnings potential is. I don't think it's a cost burden. Of course, I believe it's a revenue pool and a profit pool that goes beyond the money that we're making already today with our assistance system. It's actually think Mercedes is probably one of the brands with the highest take rate for sophisticated assistance systems today. And of course, we make money with it. I believe we're going to make more money with it, but I don't believe we're going to make more money with that than we're making with our cars. That is just our expectation going into the second half of this decade. But I'm excited. I very recently drove the latest version of that next gen that I've been talking about. I should have driven it on Friday, but there I was in Serbia looking at the lithium mine. But Harald and the colleagues drove it on Friday. I can say this, it works, and it works also in China. So once we get ready to launch next year, we will let you drive yourself and you can make up your mind.
Steffen Hoffmann : We continue with Jose Asumendi from JPMorgan.
Jose Asumendi : -- yes, it's great to see the auto margin back in the double-digit level. A couple of questions, please, Ola. Can you talk a little bit around the plan to meet the CO2 emission targets in Europe? And if we don't see a meaningful pickup in BEV demand because consumers maybe are not there yet, what are a little bit at the tools that you have to hit those CO2 emission targets? And then Harald or Ola, UK, as we think about the second half, what are the assumptions in terms of deliveries and also in terms of powertrain that you have for the second half of the year when it comes to China?
Ola Kallenius : I'll start with CO2. We kind of guide our xEV mix, which is more or less the same for the rest of the year. For 2025, we need to take a step up in Europe. We will take a step up in Europe. Should it not be enough, then you would have to look at pooling solutions, but that's too early to tell. But you don't just look at Europe, you look around the world on this. So gradually, we are ramping up our xEV share. If I look at our product plan, we start with MMA in 2025, then we roll out MMA kind of in the following 24, 30 months after that. But very, very importantly, in 2026, as you already know, MBEA comes with the electric C-Class and GLC, which at the moment for premium luxury manufacturers is the biggest segment for EVs. So the faster ramp-up of the BEV and the EV comes into play when we fill up our offering of products, that's what we're doing there. In terms of China, I think similar dynamics in the second half of the year as in the first half.
Harald Wilhelm : Yes, when you see in a full year -- second half of the year, I mean, we have a bit more sales. Where is it coming from? Basically, it's more coming from the market dynamics, which we see in the US and a bit also in the -- called overseas markets, whereas UK, we keep a rather cautious view, which is -- which means H2 roughly at the level of H1. In terms of powertrain mix, no change in H2 compared to H1. The fundamental change is going to come with the products '25, '26 with MMA and then electric C-Class and GLC.
Steffen Hoffmann : And we continue with Philippe Houchois from Jefferies.
Philippe Houchois : Again, glad to see double-digit margin number sales again. I have a couple of questions, if I can. One is on the agency business model you put in place. I know it's only part of the organization, but I'm just trying to think with the experience of having implemented that for a while. Is there a meaningful difference in your margin today as a result of that? Or in other words, would your margin be lower today if you hand on agency in your distribution part of the European business is my first question. The other question is, I think we're all trying to figure out what China will look like for carmakers in a few years. My understanding is your business in China, like all the others is in joint ventures, do the joint ventures have a term? And I'm trying to understand when does that term expire? And is that an opportunity or a need to actually rethink or reorganize the structure of your business in China?
Ola Kallenius : [indiscernible] it's difficult Philippe to make kind of a before and after because you don't know what would have happened if you would have stayed in the old model. There are some basic assumptions around the agency model. I had the opportunity last week to visit one of those markets, UK, second biggest market in Europe, where we have been live now for about 1.5 years. And the first thing I did was I asked, can you show me the customer satisfaction studies? What's the rating of the sales experience? And equally, there are ratings from dealers, how do the dealers rate the manufacturers? What do the dealers say? Because you are working with partners here and you're playing in the same team. And indeed, on both, the numbers had gone up actually on customer satisfaction quite significantly. So I asked the team, I have my own hypothesis, I asked the team, why did that happen? What is it? On customer satisfaction, actually, one of the main thing is it's a psychological one. If the price negotiation is not the main point of the sales discussion because you know you will get the same price at every Mercedes outlet no matter where you go. So this shop around 3 different Mercedes stores, it doesn't make any sense because you're going to get the same answer wherever you go. For many buyers, that takes anxiety out of that moment. Many people don't like to negotiate. Some people love it. Many people don't like it. So we believe that through managing -- eliminating the intra-brand competition compared to running the other system that the net-net of that effect is positive, even though it is difficult to know what would have happened if you wouldn't have done it. The other piece, and I think that one is long term, even more important is we're now starting to know the customer directly. So we are collecting a digital file with the approval of the customer, obviously, privacy is important to us. So we know you directly, and that file gets bigger, and we can serve you better. We're not working next to the dealers. We're working alongside the dealers and can now help manage a market region holistically with better data. And then I think inventory management, brick-and-mortar and those types of things, if you look over a longer period of time that you will have cost advantages as a whole distribution system for it. So I would call this so far so good. Has there been 0 issues? No, that would be unfair to say, to get your IT systems right, to get used to this, to move mentally from being a wholesaler to a retailer, there are a lot of processes you have to go through as a manufacturer to do this. So I'm not going to pretend that there have not been any growing pains, but if you would ask me again, would you do the same -- would you make the same decision? Generally, I would say, yes, I would make the same decision.
Harald Wilhelm : And Philippe, quickly on the JV in China. I think where you said it quite often, we're very happy to have a strong partner in the long side in China. It's the way we look at it also moving forward. For sure, with a contractual terms, however, I mean, they are confidential. But what I can clearly say, we're rather talking about new products to be installed in the JV, which go very well into the future -- building the future also for Mercedes in China and I think that's the perspective of both sides as we speak.
Steffen Hoffmann : The last question goes to Tom Narayan from RBC.
Tom Narayan : Tom Narayan, RBC. So a lot of carmakers this past week, well two of them in particular, are kind of worrying the market on dealer inventory position in the US Just curious if you could remind us what your position is in the US on a day’s basis? And where you want it to be? It is a worry obviously that pricing will have to come down dramatically to clear this inventory. The second question has to do with the Daimler Truck stake. Could you remind us as to kind of how you're thinking about this and the time line of a potential monetization here? Obviously, the shares there are pulling back opportunistically. You could be losing some upside of a monetization as that cycle turns.
Harald Wilhelm : So quickly on the US dealer side, we watch that very carefully, obviously, on a permanent basis, week-by-week and just in case there is a need. I think we need to bear in mind that in July, we had this service supplier issue, which was an impact at the dealer end, which probably led to some spikes in short-term inventories. But that should come off. I think that is definitely not something which would justify any commercial action. So again, we're watching that. We're adjusting the supply to the demand level. And as I said before, we rather see some further momentum and potential in terms of sales in the US for the second half of the year. And on the Daimler Truck stake, well, another 6 months to go in terms of the soft lockup which still gives us some time to reflect, what to do moving forward. I think we said several times we're not in a hurry here, no decision has been taken on what to do in terms of do we stay or do we go and if we go, what could be the shape and form. I alluded to some personal preferences, but in the interest of time and not to fuel further speculation, I stay absent on that in this call here.
Steffen Hoffmann : Ladies and gentlemen, with that, thanks for your questions, for being with us today. Also thank you very much to Ola and Harald for answering the questions. As always, IR remains at your disposal if there are any further questions you might have. So to all of you, have a great morning, great afternoon, great evening, great weekend. Thanks and goodbye.